Operator: Greetings and Welcome to CorEnergy Infrastructure Trust Second Quarter 2017 Earnings Call. At this time, all participants are in a listen-only mode. And interactive question-and-session will follow formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host Ms. Lesley Robertshaw. Thank you, you may begin.
Lesley Robertshaw: Thank you, and welcome to CorEnergy Infrastructure Trust’s second quarter 2017 earnings call. I’m joined today by David Schulte, CEO and President; Rick Green, Executive Chairman; and Nate Poundstone, Chief Accounting Officer. The presentation materials for this call, as well as information included in our press release issued Wednesday, and an audio replay of this conference call, will be available on CorEnergy’s website. We would like to remind you that statements made during the course of this presentation that are not purely historical may be forward-looking statements and are subject to the Safe Harbor protection, available under applicable securities laws. Important factors that could cause actual results to differ materially from those in the forward-looking statements are discussed in our filings with the SEC. These documents can be accessed through the Investor Relations section of our website. We do not update our forward-looking statements. Reconciliations between GAAP and the non-GAAP results, which we discussed on this call, can be found in our related earnings release. And now I’d like to turn the call over to President and CEO, Dave Schulte.
David Schulte: Thank you, Lesley. The second quarter was a transformative period for CorEnergy, while we maintained our stable revenue and declared our eighth consecutive quarterly dividend of $0.75. We did complete several initiatives, which position the company for future growth. First, because as we had our final material tenant existing a bankruptcy process in April, we were able to complete two financings, which significantly enhanced our balance sheet and liquidity. Nate will illustrate these transactions for you in a moment. We also prepare organization to resume growth. In recent months, we made a number of additions to the CorEnergy team including expanding the depth of our business development team. Recently, CorEnergy added as Vice President, Sean DeGon a chemical engineer, who will focus on asset due diligence and new business. Sean will be based in Houston, where he was most recently a Director at IHS Market and has nearly 20 years of energy industry experience. Chris Wolf, joined the company as a Senior Operations Analyst and is responsible for assisting in asset acquisition modeling and portfolio management. Chris spent four years at GE Energy Financial Services where he concentrated on project finance investments in the power sector. He is also a CPA with a Master’s Degree in Energy Finance, from the University of Texas. And finally, we transitioned Christian Scharosch from his tax and SOX compliance role to a new position focused on due diligence, transaction structuring and valuation for our business development team. Christian has been with CorEnergy since May of 2013 and holds a Master’s Degree in Accounting with an emphasis in tax and he’s also a CPA. In addition to the expansion of our business development group we made additions and enhancements to our accounting and compliance teams. Nate Poundstone has added three new professionals from industry and accounting firms to his staff to augment our capabilities. We have assembled a strong team at CorEnergy and believe these changes provide increased expertise and bandwidth as we look to asses and acquire assets to manage our portfolio of existing assets and to enhance our reporting and compliance functions. As to our portfolio of assets, we continue to explore opportunities on the MoGas Pipeline. We concluded our open season on June 30. However, from the interest received we do not expect immediate incremental revenue to result from that initiative. We are nonetheless continuing to investigate marketing options including engaging shippers to use MoGas connectivity to take advantage of basis differentials from different producing basins, finding new and used customers, new co-generation customer potential and increased capacity from existing shippers. In addition, MoGas has the right to request preferred [ph] adjustments to its rates to mitigate the effect of higher operating cost or loss revenues. Now if we pursue that process, it could roughly coincide with November 2018 effective date of the new lower rate on the liquidity contract. Now I would like to turn the call over to Nate to discuss our recent results and our financial position. Nate?
Nate Poundstone: Thanks Dave. Once again, this quarter you can will see that our financial performance metrics have been very consistent as illustrated by the bar charts on slide 4. Our AFFO for the second quarter was $0.94 down slightly versus prior quarters as a result of the increased preferred dividend requirements associated with the new shares that we issued this quarter. This also impacted our AFFO to dividend coverage ratio which was 1.4 times for the quarter versus our target ratio of 1.5 times for our current portfolio. As a reminder AFFO in excess of dividends is reserved unused for debt repayment, capital reinvestment activities, funding are ARO liability and other commitments deemed necessary to sustain our business model and our dividend over the long-term. Turning to slide 5, as discussed on last quarter’s call, in April we closed on $70 million offering of our Series A preferred stock. In May, the underwriters exercised a portion of their overallotment resulting in the issuance of an additional 150,000 depository shares. Total proceeds from the offering and over allotment exercise were $71.2 million net of underwriters’ discounts and other offering expenses. Following the offering, we now have a total issuance of 5.2 million depository shares of our perpetual preferred equity outstanding at a total liquidation preference at 130 million. As previously discussed we utilized a portion of the proceeds to pay-off the balance of the CorEnergy revolver back in April. We’ve continued to position our balance sheet for anticipated growth. Last week we entered into an amendment and restatement of our credit facility. The facility is to upsized for commitments of up to 160 million subject to borrowing based limitations and is entirely under our revolver structure. You will recall the prior facility was a $153 million facility with a $108 million in revolving commitments and the $45 million term loan. As we advertised the term loan under the prior facility however we only had the $108 million of availability under the revolver. In connection with entering into the new facility, we utilized the remaining proceeds from the preferred stock offering and $10 million of revolver borrowings to repay the outstanding balance of the term loan in full. And you can see on the slide our capital structure as of June 30th, both on a historical and as adjusted for the new credit facility and pay down of the term loan. On an as adjusted basis our total debt to total capitalization ratio now is approximately 21% which is below our stated target rates of 25% to 50% and our preferred equity to total equity at 27% remains below our target of 33%. Those ratios coupled with our liquidity which you can see was up to $146.7 million at July 31st positions our balance sheet well for growth. And when you factor in leverage that could be included from a transaction or transactions we have the financial flexibility now to allow CorEnergy to complete one or more deals within our target size rate [ph] without issuing additional preferred common equity. We would expect such acquisitions would further benefit our AFFO, our AFFO coverage ratio and the stability and potential growth of our dividend. Lastly, I’ll mention that we are exploring options which look to be available to refinance the Pinedale credit facilities with third party lenders and we expect that such a refinancing of that facility could be completed during 2017. If completed such refinancing transaction would provide further increase liquidity since as you will recall we refinanced the facility internally with our co-investor Prudential on a pro-rata basis in March of 2016. With that I’ll turn it back over to Dave to talk about our outlook.
David Schulte: Thanks, Nate. I want to finish by discussing the market environment for potential acquisitions. On slide six, we illustrate the energy value chain, we are seeing asset opportunities across the chain from upstream, to midstream to downstream, similar to those which were already in our portfolio such as gathering systems, which are close to the well head and are critical to long-term production and storage terminals similar to our Portland terminal. And with the addition of the Sean DeGon, we now have senior management team members with engineering backgrounds in each of the upstream, midstream and downstream sectors, with accountability for both asset operations and new asset origination. With the forward pricing expectations for oil and gas, virtually all upstream companies from independent to global integrated companies are confirming capital discipline around new projects. In this environment CorEnergy can fund the infrastructure, while enabling our partners to deploy their capital in a higher returning, drilling and development activities that are core to their business models. Considering the number and various stages of deals we are currently doing, we’re still targeting completion of 1 to 2 acquisitions by the end of this year. On slide 7, you can see how we plan to finance those projects, which are likely to still range in size between $50 million to $250 million. We continue to target a return to investor of 8% to 10% in equity on the acquisitions and in planning for that we do take into account that need to reinvest some portion of the cash flows from rents, in future acquisitions and debt repayment, which will ultimately provide a stable and growing dividend to our investors. Thank you for your attention. And I’d now like to take any questions.
Operator: Thank you. At this time, we’ll be conducting a question-and-answer session [Operator Instructions]. Our first question is from Selman Akyol from Stifel. Please go ahead.
Selman Akyol: Can you characterize potentially may be the improvement or put some brackets around the improvement in cash flow if you're able to refinance your Pinedale credit facility in exactly what it might be?
David Schulte: Thanks Selman for the question. The Pinedale credit facility is currently essentially a 100% equity because Prudential and Corridor, Core Energy repurchased the loan and we're paying ourselves back the interest. And that’s [indiscernible] have any availability or any leverage on that asset today. The refinancing -- so the refinancing rates that we would believe would be consistent with our bank borrowing and may be a little wider if it’s a one asset facility but we have to have to use those proceeds and currently that would be, we believe incremental capacity for us to do execute acquisitions as we described. It would be done only if there was an accretive use of proceeds, we think of it as a typical borrowing under our existing facility.
Selman Akyol: Got it okay and then I guess you look to do one to two acquisitions over the given size range, can you guys just say for lack of better terms, how many are in the hopper or how many different deals are you looking at, at this point.
David Schulte: Selman, we had a very active origination effort on the last three months, in addition to the significant effort of refinancing and recapitalizing our balance sheet and adding new personnel to our team, we've also been active in the market communicating their willingness to be and capability to be an active acquirer again. And I would say that we have in our valuations system today approximately 10 active projects it’s at various stages and that’s a number that we can reasonably staff, evaluate and diligence and then get to documentation on a handful and may be close one or two by the end of the year.
Operator: [Operator Instructions]. And there are no further questions. I would like to turn the floor back over to management for any closing comments.
David Schulte: Thanks everybody for your attention today and we will speak you again in next quarter.
Operator: Thank you this concludes today's teleconference. Thank you for your participation. You may disconnect your lines at this time.